Operator: Good day, and thank you for standing by. Welcome to the KVH Industries Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Anthony Pike, Chief Financial Officer. Please go ahead.
Anthony Pike: Thank you, Andrea. Good morning, everyone, and thank you for joining us today for KVH Industries' third quarter results, which are included in the earnings release we published earlier this morning. Joining me on the call is the company's Chief Executive Officer, Brent Bruun. Before I get into the numbers, a few standard statements. Firstly, if you would like a copy of the earnings release or if you would like to listen to a recording of today's call, both will be available on our website. And if you are listening via the web, please feel free to submit questions to ir@kvh.com. Further, this conference call will contain certain forward-looking statements that are subject to numerous assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. We undertake no obligation to update or revise any of these statements. We will also discuss adjusted EBITDA, which is a non-GAAP financial measure. You will find a definition of this measure in our press release as well as a reconciliation to comparable GAAP numbers. We encourage you to review the cautionary statements made in our SEC filings, specifically those under the heading Risk Factors in our Q3 2024 Form 10-Q, which will be filed later today. The company's other SEC filings are available directly from the Investor Information section of our website. Now to walk you through the highlights of our third quarter, I'll turn the call over to Brent.
Brent Bruun: Thank you, Anthony, and good morning, everyone. Let me begin with a high-level overview of our results. Third quarter airtime and service revenue was $24.4 million, down $5 million from the third quarter of 2023. Airtime gross margins declined slightly versus the same period last year due to a shift in our subscriber base. However, airtime margins increased sequentially versus the second quarter. The improvement in margins is driven by substantial contribution from Starlink data subscriptions, now sold through our bulk data purchase agreement, which went into effect on July 1st. Total revenue for the quarter was $28.9 million, roughly a 13% decrease from a year earlier. This was due to the continuing decline in VSAT product sales and corresponding VSAT service revenue. These results are in line with the expectations we shared last quarter. Our new product and service initiatives continue to help us build positive momentum. We increased our subscribing vessel count for the second consecutive quarter. We also shipped a record number of communication antennas for the third consecutive quarter, driven by a substantial increase in Starlink terminals and continued demand for our VSAT units. In addition, we increased shipments of our CommBox Edge Communications Gateway for the second consecutive quarter. As we discussed on last quarter's call, activation of Starlink and VSAT terminals as well as CommBox Edge units tend to carry over into the next quarter, building a backlog of potential activations and establishing a robust leading indicator for future airtime and service subscription growth. Starlink is an exciting part of our multichannel portfolio, offering outstanding communications to commercial and leisure subscribers worldwide. We continue to see strong demand for mobile priority data service that we have been offering to commercial and leisure vessels, having now activated more than 1,500 terminals since the start of the year. We are now expanding beyond the maritime market with the addition of priority plans for stationary use. We have commenced Starlink's high-speed, low latency data service for land-based applications in the United States, Colombia and Argentina and may expand the service offering to other countries. The land-based Starlink plans are ideal for seamless, high-speed connectivity for stationary solutions, in particular, in areas unsupported by terrestrial communications. Potential applications include education, community WiFi, remote commercial operations, construction, agriculture, disaster relief and healthcare. These new plans are supported by all the Starlink terminals currently in our portfolio and our CommBox Edge Communications Gateway. We also introduced several new services in the third quarter. MAILlink+ is our next-generation maritime e-mail connectivity platform designed for easy installation on any compatible Windows-based computer. MAILlink+ supports operational communications and enables users to stay connected with others onboard via e-mail even when satellite or cellular connectivity is unavailable. In addition, we expanded delivery options for our award-winning KVH Link service with an over-the-air unicast delivery option for the linkHUB media server. The over-the-air service enables vessels equipped with linkHUB to receive daily news, sports and entertainment updates of virtually any onboard network, including VSAT, Starlink, OneWeb or 5G cellular. Along with these changes, we continue to move forward on the development of additional new services. We will officially be rolling out our OneWeb service later this quarter, which follows a series of tests on vessels around the world. We also expect to expand the cybersecurity and crew captive portal capabilities of CommBox Edge in coming months. During Q3 and in recent weeks, we also responded to several events, both planned and not. First, as expected, the U.S. Coast Guard scaled back its airtime and VSAT terminal deployments as part of their annual renewal. We're including this anticipated reduction in our updated guidance. Secondly, on October 19, the IS-33e satellite operated by Intelsat experienced an anomaly that resulted in loss of service in Europe, Africa, Asia and the Indian Ocean. Following the disruption of IS-33e, we rapidly restored service for the vast majority of our customers, thanks to our multilayered HTS network. We moved customers to alternative satellites and adjusted data prioritization on those beams. We are now working with Intelsat and SKY Perfect JSAT to add capacity and to optimize network performance for our customers. I'm tremendously proud of the performance initiative and creativity shown by our network engineers and tech support teams in responding to this issue and minimizing any disruption to our customers in the region. KVH, together with the rest of the maritime industry, continues to adapt to significant technological disruptions, and we continue to feel the impact of these changes. However, we have reacted decisively to this fundamental shift by expanding our portfolio of new technology, delivering the products and services our customers desire, and making decisions necessary to reconfigure our business operations. As a result, our hybrid LEO/GEO deployments are increasing. We are meeting the demands for leisure boaters and commercial fleets for LEO technology and sophisticated value-added services, and we are establishing a solid pipeline for ongoing growth in service activations. Challenges remain, but I believe we have laid out a path toward growth and profitability. Now I'd like to hand it back to Anthony for a more detailed look at the numbers.
Anthony Pike: Thank you, Brent. As a reminder, I would like to note that similar to our call for Q2, I will not restate data that is in the earnings release or clearly described in our 10-Q. I will focus my comments on information that either elaborates on or clarifies the published data. So with respect to our third quarter financial results, airtime gross margin, which is not reported in our earnings release, was 36.5%, which is up compared to the prior quarter gross margin of 36.0%. As Brent mentioned, this increase can be mainly attributed to strong margins from LEO airtime, following the signing of a bulk data distribution agreement with Starlink at the end of Q2. However, we do anticipate that airtime margins may compress slightly over time, following the introduction of custom Starlink data plans which offer new options for fleet operators and boaters to select to the plan most suitable for each vessel and budget. Total subscribing vessels at the end of Q3 were just below 6,800, which is approximately 2% up from the prior quarter. Reported Q3 gross profit was negative $0.2 million as compared to a negative $0.7 million in Q3 of last year. And Q3 operating expenses of $11.3 million include a $1.1 million impairment charge related to the reclassification of our U.S. manufacturing facility to assets held for sale following the manufacturing wind down previously announced on February 13. Q3 operating expenses, excluding this impairment charge, were down around $0.8 million or 8% from the prior quarter and $1.8 million or 14% from the first quarter of 2024 on a like-for-like basis. Our adjusted EBITDA for the quarter was $2.9 million, and our earnings release has the usual reconciliation of that. Capital expenditures for the quarter were $1.5 million, and so adjusted EBITDA less CapEx was $1.4 million. This compares to adjusted EBITDA less CapEx of zero in the second quarter with adjusted EBITDA of $2.6 million less CapEx of also $2.6 million. Our ending cash balance of $49.8 million was up approximately $0.5 million from the beginning of the quarter. And finally, we are narrowing our guidance for the full year 2024 to a range of approximately $114 million to $117 million for revenue and $8.5 million to $11.5 million for adjusted EBITDA. These changes are due to the value and timing of the U.S. Coast Guard contractual reductions, which differed slightly to what we had anticipated, as well as the general pressure on ARPUs despite stronger-than-expected margins. So this concludes our prepared remarks, and I will now turn the call over to the operator to open the line for the Q&A portion of this morning's call. Operator?
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from Chris Quilty with Quilty Space. Please go ahead.
Christopher Quilty: Thanks gentlemen. Just wanted to follow up on what you're seeing in terms of vessel count and vessel growth and sort of the shift between Starlink and the VSAT units. I noticed you did have a press release out yesterday or a couple of days ago that seemed to highlight the bundling strategy. But can you give us a sense? I mean we've got the total boat count, but it looks like you're still adding net hundreds of Starlink units and shedding hundreds of VSAT units. Is that an accurate assessment?
Brent Bruun: I’ll let -- hey Chris, it's Brent. I'll let Anthony get into more details with regard to the numbers, but using the word shedding VSAT units isn't necessarily accurate. We're activating many stand-alone Starlinks. We're also activating quite a few. From a commercial perspective, more than half of our Starlink terminals are being bundled with the onboard VSAT, or a new VSAT for that matter. So as I said in my remarks, we continue to ship VSATs. They just tend to be currently in tandem with the Starlink terminal. So yes, stand-alone VSATs are contracting. But that contraction from a standalone perspective, many of those have shifted to be a hybrid with VSAT and Starlink. And then, of course, we have standalone Starlinks as well.
Christopher Quilty: Right. And you just changed the way you report, so it's now by vessel and not by terminal, correct?
Brent Bruun: That's correct. We used to do it by terminal. And the fact of the matter is it was, from a materiality perspective, the same as number of vessels. We had just a handful of vessels that carried two terminals onboard, two VSATs. But now that we are seeing so many vessels with both a Starlink and a VSAT, we thought it would be prudent, and especially from a materiality perspective with the installed base, to just count vessels.
Christopher Quilty: Got you. And…
Anthony Pike: Yeah. And we’re still seeing, I think we -- sorry Chris, I think we disclosed previously on the call, the trend of around half of the Starlink units going out, being shipped out, are being accompanied or being added to a GEO vessel, and that trend has continued.
Christopher Quilty: Got you. And on those units, or I should say, with regard to Starlink, I mean where do you see the pipeline relative to where you started at the beginning of the year? Is it continuing to grow? And do you see the Starlink product as expanding the size of the pie rather than simply taking market share from traditional GEO solutions?
Brent Bruun: Yes, to answer it concisely. As I indicated, we shipped a record number of terminals this past quarter. So sequentially, the terminal shipments were up from the second quarter. So we have a robust pipeline. Secondly, due to the cost of the Starlink terminal as well as on a cost per bit perspective, the very low price for the connectivity, we're seeing an expansion as far as the number of vessels that we potentially sell services to.
Christopher Quilty: Got you. And do you need to change anything in your distribution given the changing nature of the subscriber base? Or do you feel like your current channels are properly reaching potential subscribers that weren't traditionally in your target zone?
Brent Bruun: The short answer is we have a very robust channel, right. But we're always adjusting the channel, if you will, adding more service partners as opposed to reducing, but we do remove them as well. And it's an ongoing exercise. And it probably has increased a bit with the Starlink introduction. And we're going into land as well, which is obviously a new market for us as far as stabilized solutions via Starlink. And we're doing that in the more remote parts of the world, like I talked about on the call, with Argentina and Colombia and remote parts of the U.S. And we very well may expand to other regions. We have a sales team located in Africa along with service providers, and we're looking at opportunities there as well.
Christopher Quilty: And what prodded the move to look at the land market which, as you mentioned, is not a traditional target for KVH?
Brent Bruun: Well, the fact that we're able to easily get into the market using Starlink. The fact that we have an established presence in these regions, that we have an internal processes as far as activations and billing already in place. It's basically an adjacent market which is very easy to step into.
Christopher Quilty: Great. Also, just to follow up, I mean we see the prepaid that popped up from the pre-commitment on Starlink. How should we think about the runoff of that? I think you had mentioned previously that it covers two years or more.
Brent Bruun: No. We previously said more than a year, and we're not being overly exact. But I would anticipate seeing a good portion of that running off in 2025, if not all of it.
Anthony Pike: Absolutely.
Christopher Quilty: Got you. And Anthony, it looks like the inventories have actually trended up since the start of the year. Can you explain that phenomenon?
Anthony Pike: Yeah. Sure. So I think as we announced in Q1, we're working on this final build-out, and part of that is to bring in all the remaining raw materials required. We have a smaller team in the facility. And so actually, the physical buildout process will take a little bit longer, and we'll be building product through next year. But really, the increase has been where we've been bringing the raw materials in primarily. And the increase this quarter, for example, of $2.5 million, we brought in the vast majority of those buildout materials. But also the Starlink inventory is up just short of $2 million quarter-on-quarter. So that really accounts for the entire increase, really.
Christopher Quilty: Got you. And likewise, on the OpEx side, this was sort of a record low R&D in the quarter, albeit you've shed businesses that were previously contributing to that total. Is this a sort of a roundabout good quarterly run rate? Or when you look out maybe into the next year or two, do you see the need for major R&D investments, and presumably, they would be more on the software side than traditionally they would be on hardware? Is that a fair assumption?
Brent Bruun: We have an appropriately sized R&D team. So I wouldn't see adding to that. We have applications engineers, electrical engineers, mechanical engineers, software engineers. We have our bases covered. So I would not anticipate any increase in R&D spend. And the run rate, what was it, approximately $10 million, right?
Anthony Pike: Yeah. When you strip out the impairment, $10 million is pretty much where we're at, yeah.
Brent Bruun: Yeah. We're focused on trying to find yet a bit more improvement there.
Christopher Quilty: Great. And maybe final question, you mentioned that OneWeb is finally coming online for you. How has the pipeline moved for you in the last, say, three to six months on that product? And can you maybe just talk high level around how you're positioning it with customers relative to Starlink?
Brent Bruun: Well, it's early days, first and foremost. It won't necessarily be positioned against Starlink. We talk about a hybrid service offering. And right now, we're focused on doing Starlink with VSAT. But that doesn't mean that we couldn't have redundancy and alternative fast-onboard a network with a OneWeb and a Starlink solution. It's been a little slow out of the gate from a OneWeb perspective, getting the service going. So we haven't really established a significant penetration and pipeline just yet because we've been waiting to get the service launched. But we'll share more of that in the year-end call.
Christopher Quilty: Great. And I guess I forgot to say, but congrats on the results here. It looks like you guys have executed the turn with a pretty bold shift in business strategy. So keep up the good work.
Brent Bruun: Thank you for saying so, Chris.
Operator: Thank you. I'm showing no further questions at this time. Thank you for your participation in today's conference. This concludes the program. You may now disconnect.